Operator: Good day, ladies and gentlemen, and welcome to Energy Recovery's Third Quarter 2025 Earnings Call. During today's call, Energy Recovery may make projections and other forward-looking statements under the safe harbor provisions contained in the Securities (sic) [ Private Securities ] Litigation Reform Act of 1995 regarding future events or the future financial performance of the company. These statements may discuss our business, economic and market outlook, growth expectations, new products and other performance, cost structure and business strategy. Forward-looking statements are based on information currently available to the company and on management's beliefs, assumptions, estimates and projections. Forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and other factors. We refer you to documents the company files from time to time with the SEC, specifically the company's annual Form 10-K and quarterly Form 10-Q. These documents identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. All statements made during this call are made only as of today, November 5, 2025, and the company expressly disclaims any intent or obligation to update any forward-looking statements made during this call to reflect subsequent events or circumstances, unless otherwise required by law. Our hosts for today's call are David Moon, President and Chief Executive Officer of Energy Recovery; and Mike Mancini, Chief Financial Officer. I would now like to turn the call over to Mr. Moon.
David Moon: Thank you, and good day, everyone. Earlier today, we released a letter to shareholders on the Investor Relations section of our website that reviews business and financial performance during the quarter. Prior to opening the line for questions and answers, I'd like to highlight a few important takeaways from that letter. First, we had a strong quarter of sales execution. Mega-project shipments improved during the quarter and wastewater revenue continued to rebound such that we are reiterating our full year revenue guidance. Second, the team has done a nice job this year controlling costs, and we are reducing our full year OpEx guidance even further. We have made a number of decisions to drive efficiency and lower costs while still investing in our growing wastewater business. We expect growth in Q4 and next year to be achievable with only modest increases in operating expenses. And finally, our CO2 business had a nice summer season of testing. While OEM engagement is strong, we remain in the very early days for commercialization. We are focused on gaining traction in 2026 and plan to provide clear updates on our progress. As always, I want to thank our employees here at Energy Recovery. Our sales execution and cost control were strong this quarter, and this could not have been done without a lot of great teamwork. With that, we'll now move to the question-and-answer portion of our conference call. Operator, please open the line for questions.
Operator: [Operator Instructions] And our first question comes from the line of Ryan Pfingst with B. Riley Securities.
Ryan Pfingst: I'll start where you left off there on CO2. Just curious, what were some of the main takeaways from the recent white paper that you think customers and investors should most be aware of?
David Moon: Yes. So I think there are 3. So the first, similar to the white paper from last year, we just validated the fact that we save energy and up to 15% at peak times. And so strong energy savings performance. So that's number one. Second is to the extent that a store is located in a part of the country or in Europe, in Southern Europe where adiabatic coolers are required, we can save tremendous amounts of water. So that's number two. And we validated that as part of our summer season of testing here in California. And then I think the third and a really important part of our value proposition that we didn't talk about, we should have talked about more last year was the fact that we provide an increased performance during high heat load days. So when the system is working its hardest, the PX G allows for additional capacity during those high heat load days. And so those are the 3 critical parts of the value proposition that we proved out over the course of this summer.
Ryan Pfingst: Appreciate that. And then you touched on this and maybe you want to save it for your next update. But I was wondering if you could tell us about your progress with OEMs and your confidence in signing a commercial agreement with an OEM partner over the next few months.
David Moon: Yes. So I think -- so look, this summer season of testing was about working closely with OEMs to prove our value proposition in the field. And I think we checked the box on that. So where -- so what's the next step? So what is happening now is that OEMs are now beginning to have conversations with some of their largest end users about the PX G, and to the extent that they already haven't done so. And what's going to happen, Ryan, is that most likely, those customers are going to want to test the PX G themselves over the course of next summer. So I think we have another summer season of testing in front of us. And I think because of that, we're probably a year away from being able to sign a commercial agreement with a large OEM. I think the large OEMs are going to want to see that summer season of testing, a successful testing season with some of their larger customers before they're going to sign a commercial agreement. Now we've signed an MOU with Hillphoenix already. And so we're on a path to being able to sign a commercial agreement with them, but it's likely going to be in 2026.
Ryan Pfingst: Got it. Appreciate that. And then turning to the water side. We've seen the U.S. administration kickstart efforts across different industries, such as nuclear energy or critical minerals. Do you think there's a possibility that we could see something like that on the water front maybe for desalination?
Michael Mancini: Ryan, this is Mike. Look, I think that all of the AI and the energy that's going to serve it only goes to improve our long-term water trends, right? There's a long-term desalination trend already, and I think it does help the long-term trends. I think what we're really cautious about is translating that to near-term results for us as this infrastructure takes a long time to build. So I think we're highly encouraged with the long-term trends and some additive stuff there. We want to be cautious about near-term expectations on it.
Ryan Pfingst: Appreciate that, Mike. And then I'll just sneak in one more, somewhat related to your comments there. On the data center opportunity, curious if there's anything new to report there, either on the wastewater front or refrigeration.
David Moon: No. Look, Ryan, we continue to monitor it closely. So -- and I think we said on the last call that because CO2 is still a very small part of the refrigeration portion of data centers, that there likely wasn't going to be any near-term opportunity for us. Now should CO2 jump to the front of the refrigeration line, then that could change. And so I think as it relates to refrigeration, still nothing near term that we see. I think as it relates to water reuse and water treatment for data centers, that's something that we're just starting to better understand. And I think we'll have a better view of that over the next couple of quarters.
Operator: The next question comes from the line of Larry Solow with CJS.
Lawrence Solow: I guess just a follow-up on the CO2 question first. So it sounds like the white paper takeaways and the data were in line or with your expectations and good. So your -- maybe your confidence in the adoption hasn't changed or maybe even better, but timing sounds less certain. I'm just curious, I know it's more, but you changed your strategy more to a top-down OEM to customer versus vice versa. But I guess at the end of the day, some of these larger customers still -- do they normally make the decision? Or is it in conjunction with the OEM? Or do the OEMs -- since their reputation is on the line on a big switch like this, do they -- is it just taking them more time and they just need to -- they want their customers to be on board as well? Or is there just anything that's holding up the adoption or pushing it out a little bit?
David Moon: No, it's a good question. Look, large retailers, both in U.S. and Europe, rely on OEMs, not only for the design of the -- the equipment design, but the install and in some cases, the service [ afterwards ]. And so they really want to pull along their OEMs, especially when it comes to new technology. And so as we -- and then -- so that's what we're -- we knew that was going to be the case, and that's certainly what we're finding. And so our path to a large retailer like a Walmart is going to go through a large OEM like Hillphoenix. And so the 2 are going to have to be in lockstep. And so what we expect to happen as the next step now that we've gotten through a successful summer season of testing is that we expect Hillphoenix will now start promoting us to the likes of a Walmart, and we'll get test stores in the first half of the year with them. And so we'll start that process with -- confirming the technology with a couple of these large retailers over the course of next year. But it's going to be with these large retailers pulling the OEMs along in lockstep. That's just the way it's going to work.
Lawrence Solow: Okay. So it doesn't sound like your confidence has changed at all, right? Or the inevitable -- listen, the ROI, I guess, goes down a little bit because it's pushed out 1 year, but it doesn't feel like -- right, that's kind of the one change. I guess I know you're not ready to make any major decisions today, but it sounds like you're not going to get to that sort of 4 or 5 customer adoption next year, but that doesn't necessarily mean your confidence in the overall program has changed. Is that a fair assumption?
David Moon: No. Larry, look -- no, I think -- look, I think we had a good summer season of testing. That's what we know. And we know that OEMs are now starting to talk to some of their larger customers, which is a good thing. We know that we're going to have another season of testing in front of us in 2026, and that real commercialization is likely going to happen in 2027. So our view, OEMs are still very, very interested in the product, still very interested in the product. We're getting pull. And so it's just a question of speed.
Lawrence Solow: Okay. That's fair. I appreciate that. Just quickly on the desal. It sounds like -- I know the long-term fundamentals don't change much. Just so fast that is just curious, we're somewhat newer to the name. Your visibility, I know always could move around a little bit from quarter-to-quarter. But this time of year, as you look out to the next year to '26 without giving us numbers, but does your visibility start to fill in as we look out on a 12-month rolling basis, even though I know quarters could slip a little bit?
David Moon: Yes. We should start to see backlog building now for 2026. So now it will be relatively small because if you think about our last -- now what's going on in year 3, the sort of the pattern of backlog build for us has been sort of slow first half, very heavy second half. And that's not going to change for 2026. We expect the same sort of pattern. So we should enter the year with some backlog. It's likely not going to be significant, but the second half is where the story will be told. And that's been the MO for the last 3 years.
Operator: The next question comes from the line of Jeffrey Campbell with Seaport Research Partners.
Jeffrey Campbell: Congratulations on the solid results. I wondered -- David, I wondered if the impressive operating cost reduction that you have highlighted, did it benefit in some way from your efforts to establish an international footprint? Or did they occur in spite of those changes? Or were they just completely unrelated to each other?
David Moon: Yes, they're unrelated to each other. Jeff, we were able to reduce costs, and we've been very mindful of costs since starting last year. And so we've been able to really, really watch our costs over the course of the year, especially when tariffs hit us so hard in the first quarter. So we took action very quickly. That's why we've been able to be so successful this year to be able to drive OpEx down. But it hasn't stopped us from investing in growing wastewater nor did it stop us from investing in this manufacturing option to be able to forgo the tariffs from China. So we've been able to do both.
Jeffrey Campbell: Okay. The announced lithium project is an application of PX that I was excited to see progressing from a pilot to a project. I'm just wondering, is there enough potential work in this area to make it a meaningful niche in wastewater treatment.
David Moon: Yes. I mean this lithium extraction project that we just won, which is in Argentina, that's a $350,000 project, and that should hit us this quarter. And so we think this is the first -- and we've had several projects in China already where we've been able to win lithium extraction projects. And so we think there are more to come here.
Jeffrey Campbell: Okay. I was just curious, you've talked intermittently about hiring new people for the wastewater effort as your confidence in this growth has increased. I just wonder what do you look for in these kind of hires? Are you looking for existing relationships or industrial knowledge or something else?
David Moon: Yes. So we're looking for people that have a track record in the wastewater space. That's number one. Number two, a track record within at least 1 or 2 of the 5 verticals that we're focusing on. So that they bring experience, they bring relationships with OEMs, with end users. And so those are the 2 primary attributes that we're looking for when we're hiring these -- hiring new salespeople and technical support people.
Jeffrey Campbell: And the last question, regarding these retailer tests for next year that you kind of laid out for us in CO2, are these likely to be skid installations as you've done in the past?
David Moon: Yes, more than likely, Jeff, there'll be -- I would say majority will be skid. Existing CO2 locations with the skid install.
Operator: There are no further questions at this time. I'd now like to turn the call back to David Moon for closing remarks.
David Moon: So thank you, operator. So thank you to all of our stakeholders for your continued support, and we look forward to updating you on our next call. Enjoy the rest of your day.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.